Operator: Ladies and gentlemen, welcome to the Titan International Incorporated second quarter earnings call. This session all lines will be muted until the question-and-answer portion of the call. (Operator instructions) Any statements made in the course of this conference call that state the company's or management's intentions, hopes, beliefs, expectations or predictions for the future are considered forward-looking statements. Please note that the Safe Harbor Statements contained in the company's latest Form 10-K and Form 10-Q filed with the Securities and Exchange Commission extend to this conference call, and any forward-looking statements involve risks and uncertainties as detailed herein. At this time, I would like to introduce Titan Chairman and CEO, Morry Taylor. Please go ahead.
Morry Taylor: Thank you, Mary, and good morning to all of you on the call. I'm assuming you have the press release and I'm assuming that you got the 10-Q, everything's been filed. The numbers kind of speak for themselves. It was a very good quarter in the second quarter for a number of reasons. The business was strong in all segments. We've seen an uptake. And our management team, as I said in the press release, did an excellent job of holding down costs and gaining a little bit on our margin. And I expect that to continue. Since the quarter is over, most of you can see what those are so most of you are interested in what was coming out and what will we see. Well, to give you a little perspective, we believe as I said in the press release that the business is going to stay very, very strong also for the foreseeable future. We believe because of the price of currency in Brazil that the American farmer is going to do real well. You can see it in a lot of the commodity pricing. If you just watch what's written in the Wall Street or the talking heads, one day we're going to have record crops, the next day the agricultural department's got it wrong and less than this. So, I'm just going to tell you, if you fly over the whole Midwest, you get down by Quincy, you'll find that the soybeans and the corn is not going to be as good, because number one they've got too much rain and had to plant it a number of times. But you get up by the Bryan plant. I haven't seen the corn that high looking that good in years. So, I think you're going to have a hit-and-miss all across the whole Corn Belt. And the situation is that it's going to be good for the farmers and if they ever go from that 10% to 15% ethanol (inaudible). And the equipment, I believe, our friends at here and everybody, I believe they are all taking a conservative approach. But I believe that there's going to be a demand and that demand's going to stay out for the next number of years, until the currency switches. And actually, it looks like it's going to keep in the favor of all the U.S. employees, so we're excited about that. Construction has picked up, the numbers show it, both in the OE side as well as in the aftermarket and that's a two-fold. Your dealers are putting on, they're still very conservative, they're not just flooding up with OTR tires. But there is a little bit of a pickup in the demand, which is good. The mining is going strong, in fact, contrary to the price of commodities, it's like I said on the call before, when they turn around and they, the commodities get so strong, companies spend a lot more money trying to open up more mines and everything else. Whereas, when the commodity prices go down, as long as they don't crash through the bottom, they just try to dig it, dig, baby, dig. And that's real good for us. So, right now, we're pretty content people on what's going on and we're just going to stick to what we can produce and make it at a profit and continue to try and take more and more market share. To give you an idea, a year ago and I'm using the wheel business as a sign because the wheel business, we see things a lot quicker than you do from the tire side. And the wheel business does not shutoff as fast as the tire business can. So, a year ago, our order – what we shipped in the month of July was in the round numbers of around $8 million in wheels, which was a low point in the wheel business. We’re going to be more than double that number this month. So, August is in strong, September's showing in really strong. So, we're looking to have this market continue much, much stronger than the second half of '09 last year when the thing just shut right down. So, that's all the good part. Moving on to what else is the acquisition front. We've finished on buying all the stuff from Denman, which we spent about 7.5 bucks and that's – we have all the equipment everything. Some of that equipment in the next 90 days will be running at certain of our plants. We have some unique situations and we believe that our payback on that is going to be very fast. The other big acquisitions are moving forward and we're looking right now at probably in the next 30 days how that would be handled from the financial side. So, that is moving along. And with that, we've also made some personnel changes and we have a new CFO, who is Paul. Kent's taking over to help me move along on the corporate development side, so they're both on the phone. So, to review the numbers for the second quarter before we go into the answering, I'll turn it over to you, Paul.
Paul Reitz: Thank you, Morry. I'd like to spend a few minutes going over the financial highlights from the quarter and then we'll jump into your questions. Our good second quarter is driven by an 11% increase in sales to $229.7 million from $207 million in the prior year's period. With the tailwinds from large farm demand, our ag sales led the way with a $15.4 million increase to $175.7 million. Earth moving and construction had a solid increase in sales of 16.7% to $49.5 million as we saw OE's build up their inventory and the consumer segment had a 5.4% increase in sales to $4.4 million. As a percent of sales, the segments remained relatively stable this period with ag comprising 76%, earth moving and construction 22%, and consumer making up the remaining 2%. Gross profit for the second quarter of 2010 increased to $33.9 million or 14.8% of sales, up from $29.7 million or 14.4% of sales for the second quarter of 2009. The margin improvement primarily relates to higher sales levels that enabled us to improve our plant utilization and we were able to maintain headcount at levels slightly lower than the prior year. Our SG&A for this quarter decreased to 5.3% of sales from 5.7% in the second quarter of 2009. In dollar terms, SG&A increased by $395,000 partially due to increased selling costs associated with the higher sales. Interest expense for the second quarter was $6.8 million, as compared with $3.9 million in Q2 2009. The increase is primarily due to the $172 million of senior convertible notes at 5.625% [ph] issued in December of 2009. During the quarter, we completed our tender offering on the January 2012 notes. There were 47.4 million of the notes accepted for tender, which represented 24.4% of the principal amount of notes outstanding. In connection with the tender offer, we recorded $2.7 million of charges that appear as a separate line on our income statement. The $2.7 million consists of $2.3 million for the $50 premium per 1,000 of notes tendered. $300,000 of that was associated with writing off deferred financing costs and $100,000 of professional fees. Our net income for the second quarter was $4.6 million or $0.13 on a per share basis, as compared to $5.9 million or $0.17 per share in the prior year's quarter. Adjusting for the impact of the debt repurchase, our net income would have been $6.2 million or $0.18 per share for the second quarter of 2010. Moving over to our balance sheet, we had a $50 million increase in AR and a $28 million increase in inventory from their year-end balances. These increases were primarily driven by the extremely low inventory balances at the end of 2009 and the higher sales levels that we've experienced in the second quarter 2010. As a result of these asset increases and a tender offering on our notes, our cash balance decreased to $158 million from $229 million at year end. Our long-term debt balance decreased by $46 million due to the tender offering from – to $319 million from $366 million and we continue to have no borrowings on our $150 million revolving credit facility. With that, I'd now like to turn the call back over to your questions.
Operator: (Operator instructions) And our first question comes from the line of Ian Zaffino from Oppenheimer. Please go ahead.
Ian Zaffino – Oppenheimer: Thank you. Very good quarter.
Morry Taylor: Thanks, Ian. A lot of people busted their trust to get it done.
Ian Zaffino – Oppenheimer: That's kind of because you were cracking the whip pretty well. The question would be on the acquisition front. You mentioned financing. I mean, what are the alternatives you're thinking of right now and what's your appetite for size of acquisition and I have a follow-up? Thanks.
Morry Taylor: Well, everybody knows that we've been in negotiations with our friends at good year and that's going to be a situation that I believe will come to the head in the next 30 days. What it really comes down to is, we've pretty well did all the paperwork and everything else, so now you're down to the cash part and the financing, and that's where we're at. And once we have that little situation resolved and it'll be time for some announcements. We can't, then we move on to alternate tool and that's what's going on.
Ian Zaffino – Oppenheimer: Okay. And it looks like you found someone for the wheel business or you, how's the tire, the President search proceeding and what…
Morry Taylor: It's proceeding very well and we've been interviewing candidates and we have a new young guy, Dave, who's the Head of the – taking over for the Wheel Group and Ron Schildt, who's been running it has moved over working in the part of the corporate development with Kent. So, he only had to move a block over to the white house and we were, I was getting lonely over there, there's nobody over there. So, we had to make sure somebody was there for Janet. So we moved a few bodies over and then we're going to make an announcement. Mary Ann [ph] who really was involved in running the facility in Quincy, she's moving over and going to be our, Head of our Purchasing Department from the corporate side and we're going to put a little more emphasis on that. So, that's what we're doing.
Ian Zaffino – Oppenheimer: Okay. And then the last question will be on the oil sands. You had indicated maybe 1,000 giant tires being sold this year and 3,000 next year. Is that, are we still kind of on pace for that or…
Morry Taylor: Yes. Well, yes. I'm glad that you're the one. I got this from one of our sales boys, okay. And it's from the, John Bennett. He's the equipment supervisor from United Coal and he's in the Grundy, Virginia mine site and he sent us this little note. These Titan tires stand up straighter than any other radial we have seen. The traction's very good, especially in our current wet condition. It would be awesome if the projections of 15 hours actually come true. We would like to see 10,000 hours and be able to recap these tires and time will tell. There are no unusual cuts at all on these tires and we are thankful for Titan placing them in our mining site. That's Generation II, so the reason they say the 15,000 is they keep checking them on the wear and so, they're running and at the wear rate for what's in the tread depth, that's how long you project it out to be. And he's right; they would love to see 10,000 because most of their tires are only getting up right around the 8,000 mark. So, I really hope that at some point they start wearing a little bit faster because I'd prefer to sell more tires. But they're going to be able to recap them too. So that's a good thing. And the same thing is happening on the tires that are running up in the good old oil country and want them to keep dig-baby-digging and I'm going up there in two weeks for a week. Because we're also moving on our new facility that we're going up there, so I'm going to go visit the big flies up in Alberta. The bugs up there are really big. Four of them could probably fly away with you, Ian. So that's what's going on. Now, you can't keep hogging the phone, so there's – you've got other people who want to ask questions.
Ian Zaffino – Oppenheimer: All right. Thank you sir, see you.
Morry Taylor: Thanks, big guy.
Operator: Thank you. And our next question comes from the line of Alex Blanton with Ingalls & Snyder. Please go ahead.
Alex Blanton – Ingalls & Snyder: Hi. Good morning.
Morry Taylor: Good morning, Alex. How are you?
Alex Blanton – Ingalls & Snyder: Fine. Can we just review the situation with the mining tires? Are you selling any right now?
Morry Taylor: Yes.
Alex Blanton – Ingalls & Snyder: Yes. Okay. So…
Morry Taylor: I know, it might shock some people, Alex, some people just want to go the opposite way and I just, did you hear the statement I just read?
Alex Blanton – Ingalls & Snyder: Yes.
Morry Taylor: That's from the 49 to 51 inches being shipped, I think this next week and I forgot, maybe I put it in the press release. We're going to have our new 50 by 51 inch loader tire that should be out in August. We – one of the reasons the quarter results and I said, that things are so much better, is because all this time you look at how many new items we have developed and what are out testing, right now, which are going to give us a big frigging kick. The – our current tires running up in the oil sands, they're withstanding cuts. We are taking and they are – the wear is going good. Actually, in the oil sands, they don't wear them out, they cut the suckers up. But that's going good. And the big thing is, is our heat. We have been able up there to reduce the weight of the tire and reduce the heat.
Alex Blanton – Ingalls & Snyder: Right.
Morry Taylor: And that's the big thing, as long as those babies run. Now, not only up in the oil sands, but we got them in the coal mines. Those are the 53 by 63's and they're running great. And we've found, I don't know about the – I didn't get the latest on the ones that are in a couple coal mines. I don't recall whether those are 53 by 63's or 59 by 63's. But they're doing the latest report I had, was that they were not chipping or any of that other stuff, so that's the good part.
Alex Blanton – Ingalls & Snyder: Last year, the prices were all over the place. What's the current situation there for the price of these tires and the raw material costs?
Morry Taylor: The raw material costs went up and we passed on – we passed that on.
Alex Blanton – Ingalls & Snyder: Yes, I know.
Morry Taylor: And that's moved on. The raw material prices today, right now, natural rubber's higher than hell. The other is just sitting pretty stable, so…
Alex Blanton – Ingalls & Snyder: Well, you were charging – I think up to 50,000 per 63-inch tire, what is it right now?
Morry Taylor: Right now, it's pretty close to that.
Alex Blanton – Ingalls & Snyder: Okay. Second question is this. I was intrigued with the comment you made in the press release about our beloved politicians and…
Morry Taylor: Well, I think they should – I think the power – listen, look they're doing everything they can to try to you know, stop everything and all the talking heads and everything but it's real simple, you know. They – they're politicians. They have never really built much, okay? They've been able to destroy but they can't build much. So you know, I think more CEO's and people in business better start standing up and telling it like it is. And you better start standing up and telling employees, "Hey, you know, you can talk all this and everything, but it's real nice to have the bogie man be a company but a company is people. There's no such thing as a company that's just – you know, doesn't have people.
Alex Blanton – Ingalls & Snyder: Yes.
Morry Taylor: You don't – you know, it's wacko. So, you better start – any company that's running good is because it's got good people. If you've got bad people, it's going to go to hell. And that's the way it is, so you know, I believe right now that even with – you know, the current political thing, I don't think they can quite shut off what's rolling. I said this to my friends at John Deere. John Deere is rolling, okay? Everybody sits there and you know, this and that and they worried about this. They think too hard. All right? The point is, there's going to be a billion more people and the currency is what's making things so hot for our friends at – that make equipment. So, I'm excited, all right? Which you can say, Alex, I'm always excited because why should I be down?
Alex Blanton – Ingalls & Snyder: Sounds to me like your position is that the economy's going to be okay next year, because there's – there's an underlying economic forces that will – it can't be stopped by the –?
Morry Taylor: You're getting more complicated, Alex. It's going to be good for us because you're going to eat next year. You've got kids, you're going to feed them and unless everybody stops having sex, then we don't have no more babies, the forecast is that you're going to add the size of the United States in just over a year. So – and you know, God bless us that the place they can grow it is the U.S. of A. So, we're going to – we're going to have a good thing. The competition, as I said in my press release, comes from Brazil on three of the big huge crops.
Alex Blanton – Ingalls & Snyder: Yes.
Morry Taylor: And as long as Brazil doesn't sink their currency, the U.S. farmers' going to do pretty damn good. I mean, look at the price of corn, look at the price of soybeans. They've got – they've got some of that stuff, there's – you know, you look at soybeans, what, input cost of five bucks, that includes your land?
Alex Blanton – Ingalls & Snyder: Yeah.
Morry Taylor: And it's at nine or 10 bucks? Hell, I wish I was, you know. Had a little farmland myself right now, because you could rent it out and do pretty good. In fact, that's a lot of the – land is by guys that are sitting in New York or various investments. So, glad to see that some part of the economy's doing good.
Alex Blanton – Ingalls & Snyder: Well, that's the farm part. What about the rest? What do you think?
Morry Taylor: I think the rest is real simple. If the commodity prices come down, as I said earlier, then what happens they're not going to go out. The big expense for any mining company is going and doing the smelters and everything else, to go open up a new mine. The beauty about what we have is that I would like to come down a little bit because then they're going to push those trucks and all their equipment to dig faster and that's what I hope.
Alex Blanton – Ingalls & Snyder: Okay.
Morry Taylor: Now, you can't hog it, you're getting like Ian.
Operator: Thank you. Our next question comes from the line of Derrick Wenger from Jefferies & Company. Please go ahead.
Derrick Wenger – Jefferies & Company: Yes, just three things. What is the potential size of the – if you can give any parameters on the Goodyear, the size of the transaction and size of other transactions contemplated? When do you think you may bring that new debt deal and what is the capital expenditure outlook for the year?
Morry Taylor: Well, let's start with the reverse, okay? Because a lot of stuff you asked me and you should know, it'd be pretty foolish for me under all the rules and regulations to be telling you everything when my Board hasn't seen the last of the little bit. So, on the CapEx, we've never changed. Our CapEx was mainly in the – that were ongoing CapEx is going to be between the 12 and 16. And, the only thing that threw that a little different curve is the opportunity to buy out Denman Tire, which we spent 7.5. So, if you were to turn around and add that to the 12 million, you're going to be between the 19 million and 22.5 million. And if I go make another acquisition, then that's going to screw that up too. Right? So I've always said the CapEx is the ongoing and the rest of it, I look, more like from an investment situation. Okay? You with me so far? Hello?
Derrick Wenger – Jefferies & Company: I’m.
Morry Taylor: Okay. So, then when we get into the acquisitions, I would expect the acquisitions to be as they come to fruition, I would expect the first ones to be between the neighborhood of $300 plus in sales revenue.
Derrick Wenger – Jefferies & Company: Okay. Thank you. And the new debt deal contemplated, do you plan on going back out with that?
Morry Taylor: The deal is if we turn around and I've got to finance it somehow. I don't have a – maybe I can get a loan from the TARP money, from the politicians, okay? Maybe I can show them how I create three or four jobs and get, like the battery plant and get a half million per job. So maybe I'll be able to do that. So I really don't know yet until – what transpires, how we're going to handle everything.
Derrick Wenger – Jefferies & Company: Okay. Sounds like a plan, thank you.
Morry Taylor: Bye.
Operator: Thank you. Our next question comes from the line of Philip Volpicelli with Deutsche Bank. Please go ahead.
Philip Volpicelli – Deutsche Bank: Hi Morry, how are you?
Morry Taylor: I'm pretty good, Phil. I'm pretty good. I think you know, I'm not one of them that's worried about the future, you know? I think the future's going to look pretty good despite the politicians. So.
Philip Volpicelli – Deutsche Bank: All right. The question I had was about the guidance you had mentioned and in the press release you say you're going to be at the high end. Is this the $65 million to $85 million of EBITDA on roughly 770 to 820 of sales that you mentioned before?
Morry Taylor: Yeah. I think that's what my goal was before. So I think we're going to – you know, we have a good shot at you know, the high end. I mean, you can figure it out right now. The whole thing goes in the – this second half, we're humming pretty good.
Philip Volpicelli – Deutsche Bank: Right. And with regard to a potential new bond deal, would you try to go out and tender the existing bonds around the same level or would you go closer to the T plus 50 take-out?
Morry Taylor: Well, actually what happened, is that when we went out for the first time was the – right after we pulled the deal, people called us up and we bought another 6 million [ph], I think that's what it was. So, we actually pulled in about $54 million of bonds. Our bonds outstanding now are like $139 million, it's in the queue. So, we couldn't buy any back during this blackout period. You know? So, if – we're always interested in talking with everybody. Okay?
Philip Volpicelli – Deutsche Bank: Is it something where you can buy them on the open market with the cash on the balance sheet or are you restricted…?
Morry Taylor: Sure, I am, I have more money on the balance sheet than bonds outstanding.
Philip Volpicelli – Deutsche Bank: Right. Right. Okay. And in terms of the acquisitions, that you said 45 days, is that for all of the acquisitions or just the Goodyear discussions?
Morry Taylor: Well, I think it's got to do with a couple, the biggest one would be the – our friends from Goodyear. The next ones are a little smaller but they're going to – they're going to be a very substantial part of our planning as we go forward in the future.
Philip Volpicelli – Deutsche Bank: Great. Thanks Morry.
Morry Taylor: Thank you.
Operator: Thank you. Our next question comes from the line of Saul Ludwig with Northcoast Research, please go ahead.
Saul Ludwig – Northcoast Research: Well, good morning. You know, for a man of your age, it's good to hear that you're feeling well.
Morry Taylor: Well, I feel great and it's great to talk with a fellow, who has trained me on all this, the Godfather of Analysts. How we doing, Godfather?
Saul Ludwig – Northcoast Research: Yes, well, I wanted to ask you a question, here. You know, our friends in Japan tend to post about a 30% gross margin and our friends in France tend to post about a 30% gross margin and even our friends in Akron tend to post something over a 20% gross margin. Now, yours were 14.8%. You ever think about what – would it be possible to get your gross margins sort of up in the 20% range? I think the best you ever did was 15.6% or something like that. And if you could do that, what would have to happen either internally at Titan or externally in the environment to enable you to move gross margins much higher than they currently are?
Morry Taylor: Well, the first thing is that could we do it? Yes. Is that our goal? Yes. But, you see, the way you have to do it, my dear Godfather, is that number one, we have always been in a building situation and sometimes, you get – you have to take things that everybody else was losing in. All of ours were losers at one time and it does take a little bit of time to change the culture and to get things to where they've got to be. It's the same thing was true in the wheel business and we do pretty good there. The same thing was in the tire business. We make money in our Des Moines facility this past year. Of course, the other two – they struggle, okay? And we've had them for what, four years? The culture is slowly but surely changing and I hope that before you hang up the saddle and I do, that I can listen to you tell me, By God, you did do it, you know? So, is it going to happen in the next year? No. But will we have a shot at it in the next four? Yes.
Saul Ludwig – Northcoast Research: You know, it's time to take beans out of the jar every once in a while, Morry. Why'd you cut your R&D by a third in the quarter?
Morry Taylor: Well, the R&D was cut because if you listened to what I said, my friend, we came out with a whole mess of new product and that new product is out there, so that the moment that you put it into production you don't run it into the R&D. Okay. So, we are still doing now in the R&D some unique situations where we are trying to figure out some new product and what we can do, but we're still pumping and testing and what we're doing in that. So, when you get the amount of tires that came out, the new 800 by 30 by – excuse me, by 46 that are out, those have gone into production. We've got the loader tire now for the big 50-51, that would have come out. The 51, what is it, 33 or 51, 3600 by 51 radial? Same there. The 45 inch radial came out, that's why. So.
Saul Ludwig – Northcoast Research: Okay. Well Morry, just keep trucking and let's – maybe we'll be around when you get that 20% gross margin.
Morry Taylor: You'll be around.
Saul Ludwig – Northcoast Research: You can count on that. Thank you.
Morry Taylor: You just stay around, I'll be there too. All right. Thank you.
Operator: Thank you. Our next question comes from the line of Charlie Rentschler with Morgan Joseph, please go ahead.
Charlie Rentschler – Morgan Joseph: Good morning, Morry.
Morry Taylor: Good morning, Charlie.
Charlie Rentschler – Morgan Joseph: I wondered if you could talk about your ability to raise prices versus your suppliers sticking you with price increases. Where are you in that …?
Morry Taylor: The same place. They stick it, they – they pass it to me and I pass it on.
Charlie Rentschler – Morgan Joseph: So you're…
Morry Taylor: It's the same situation. When you deal in the aftermarket, you probably have a 60 degree period of time, but then what happens aftermarket guys will try to throw in 10,000 orders to try to beat it. They're very good at that. The OE's, you give them the 90-day notice and it goes up.
Charlie Rentschler – Morgan Joseph: So, would you – would it be fair to characterize it as being neutral? I mean, your…
Morry Taylor: I think it's neutral.
Charlie Rentschler – Morgan Joseph: You're giving and taking. And my second question, Morry, had to do with if you could fill us in on Bryan and how many big tires you think you're going to be able to sell this year.
Morry Taylor: Well, the first thing is, I've told everybody that our budget had 1,000 and if everything – and for us to hit the high end, I had figured that there could possibly be an extra 1,000 tires to hit that high end, okay. And that's pretty much what I tell everybody. I don't tell everybody I made 983 the first six months and I'm scheduled to make, because of all the confidentiality agreements I got signed with these people.
Charlie Rentschler – Morgan Joseph: Okay. Thank you.
Morry Taylor: You're welcome.
Operator: Thank you and we have no more questions. I'll turn it back to you.
Morry Taylor: Thanks. Thank you everybody. You have a great week and we're just going to keep plugging around. You're more than welcome to come and visit any of our facilities. We're pretty proud of it. Talk to you all later, 'bye.
Operator: Thank you. And ladies and gentlemen, this conference will be available for replay today after 11:00 a.m. Eastern through August 4 at midnight. You may access the AT&T Teleconference Replay System at any time by dialing 1-800-475-6701 and entering the access code 165325. International participants may dial 320-365-3844. Those numbers once again are 1-800-475-6701 and 320-365-3844. Access code is 165325. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.